Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2021 UFP Industries Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a Q&A session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker Mr. Dick Gauthier, Vice President of Communication and Investor Relations. Please go ahead, sir.
Dick Gauthier: Welcome to UFP Industries, Fourth Quarter 2021 conference call. Hosting the call today, our CEO Matt Missad, and CFO Mike Cole. Matt and Mike will offer prepared remarks and then answer questions. This conference call is available simultaneously and in its entirety to all interested investors and news media through our webcast at ufpi.com. A replay will also be available at that website through Friday, February 18th, 2022. Before I turn the call over to Matt Missad, let me remind you that today's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. These risks and uncertainties include but are not limited to those factors identified in the press release and the filings with the Securities and Exchange Commission. I will now turn the call over to Matt Missad.
Matt Missad: Thank you, Dick, and good afternoon everyone. Well, 2021 is over and like the Super Bowl of Champion Los Angeles Rams, the UFP team leave the mantra, we will win. And unlike the nail-biter that the Rams experienced, the UFP team was strong the whole year and shattered its previous records. I would like to give the UFP family a virtual standing ovation for the amazing year. They deserve all the accolade and the recognition for the company's performance. Some quick highlights, we had record net sales for the quarter were $2.02 billion and $8.65 billion for the year, record PBOP for the quarter was $239.7 million and $911.5 million for the year, record gross profit dollars were $371.5 million for the quarter and $1.41 billion for the year, and finally, record EPS was $2.21 for the quarter and $8.59 for the year. If you say the numbers fast enough, it might not seem as incredible as the performance really was. Net sales were up over 65% and earnings per share more than doubled while putting us well ahead of our strategic growth plan. Now, do we slow down when we're ahead? Of course, we don't.  We just keep pushing harder and set new, more ambitious targets. As we think about the future, let's recap the segments and explore some key items from the business units. In the Retail Solutions segment, retail sales were $3.42 billion for the year, although profits were down from the record set in 2020. The segment was impacted by the following lumber market through October, resulting in substantially lower margins in treated lumber products, which negatively impacted our ProWood and Sunbelt units. The lumber market solidified in Q4 and has remained at elevated levels through the first several weeks of 2022, and this has helped both of these business units get off to a good start in 2022. UFP-Edge, our siding pattern and trim business, grew by double-digits in Q4. The product line was very well-received at the recent International Builders Show in Orlando, Florida, including the new domestically produced UFP-Edge thermally modified wood products. UFP-Edge, welcomed additional manufacturing capacity during Q4, and has capital plans to add another facility in 2022, and a third in 2023. Deckorators decking products sold well in Q4 with double-digit unit sales increases. Conversely, Lattice and PVC railings were down from record 2020 levels. Our alternative railing products sold very well through the retail stores in Q4, creating a robust restocking of these items during Q1 of 2022. The overall outlook for decking remains strong as our Trailhead WPC product experiences high demand. And as a reminder, we expect to complete the current WPC capacity expansion by the end of Q2. Demand for our mineral-based composite decking remains very strong and we have been challenged to meet the hiking demand.  Fortunately, about half of the additional plan capacity has come online this month with a balanced expected by the end of January -- excuse me, the end of April 2022. Our continuous process improvement efforts are also helping increase capacity. Once fully realized, this capacity together with the new machinery will add approximately 100% to the pre -expansion capacity of mineral-based composite. Among the new products for Deckorators in 2022 are the new Voyage, Sedona color, a new line of low-voltage lighting and our much requested 11.25 in step treads. The Deckorators team is also very excited about its recently completed acquisition of Ultra Aluminum. The Ultra team will strengthen our capabilities and aluminum railing and fills a strategic gap in our yard enclosures offering by offering matching railing and enclosure product which ties the outdoor living environment together. Handprint, the home and decor business unit continues to gain more sales volume with its cut-to-size product offering for building materials retailers.  Outdoor Essentials is excited to introduce several new raised garden beds and elevated planters just in time for spring. Our new Outdoor Essentials Garden Beds and Planters are e-commerce friendly. They feature tool free assembly and they are designed using a variety of materials and finishes. Our e-commerce sales continue to climb, and our new Fort Worth, Texas Fulfillment Center is up and running. We are investing in additional team members and technology to prepare for additional growth. And working with our new products teams, we are also developing more products which are e-commerce friendly for efficient shipping. The overall outlook for Retail is positive, as our big box customers have an optimistic forecast for consumer demand, both from DIY, as well as the pros. The UFP Construction unit sales increased very nicely in Q4. The site-build business had strong single-family residential demand in the geographic markets we serve and multifamily remains resilient with order files now stretching into 2023 in some of our markets.  The new products from recent acquisitions such as aluminum cladding and aluminum decks for multifamily and commercial projects have created opportunities in other geographic locations as we continue to scale these new products. Our trust facilities are operating near capacity with the available labor. We continue to recruit and hire to fill additional shifts where possible. On the new services front, our new trust tracks program has been very well received by customers who now have real-time mobile access to orders and deliveries among many other features. We will continue to enhance our technology for our customers as we expand our role as the preferred solution provider to our site-built customers. Our factory-built business unit also improved in Q4 as strong demand continues, even with rising prices. Order files are still very strong for our manufactured housing customers whose units are growing market share and being readily accepted in the marketplace. Recreational vehicle demand has also proven to be resilient. We continue to assist customers on their standardization initiatives and emphasizing new products to help them reduce labor needs, and increase their efficiencies.  Commercial Construction was profitable for the year and has seen strong order files for the first half of 2022. Last year, we discussed the need for dramatic improvement and the group responded very well, which was an incredible swing year-over-year. The next challenge is achieving an acceptable ROI and the team has implemented a multifaceted plan to complete the recovery. Among the action steps are implementing price increases to reflect higher raw materials cost and recognizing the increased value we add, rationalizing product lines and categories to ensure that we can produce and deliver the products efficiently, and providing new standards of business to encourage customers to work in partnership with us to bring about lower costs and better efficiencies. Our Concrete Forming Business unit will be adding new standalone locations in 2022 to accelerate growth. The first regional facility will be in Maryland, which is expected to be running by early Q2. Other markets will be in the Southwest, the Southeast, and in the West, and these remaining locations are expected to be operational by the end of 2023. The team will expand the horizontal forming rental program in 2022, expecting to more than double the 2021 rentals. Customer demand on our space is strong, and customers in most markets are telling us their bid log is maxed out. A backlog of COVID delayed projects are starting up this quarter and customers anticipate the government infrastructure projects will start hitting markets later in the year. UFP Industrial grew unit sales and profitability through the fourth quarter as it implemented strategic plans to be the packaging solutions provider for all of its customers. The Industrial team is growing its runways and end markets through its national sales growth teams which, as you can see, have accelerated the financial results. To complement the sales efforts, the segment has enhanced its technology and sales tools and reorganized the design and engineering functions to take advantage of regional expertise and create greater efficiencies. It will be adding resources in marketing and product development to continue to drive product awareness and to provide new solutions.  Great strides have been made to convert sticks and panel sales to designed and engineered mixed material solutions. There is still a lot of work and a lot of opportunity to improve here. The Industrial team has also embraced automation and manufacturing improvements as it has more new methods from the Acquisition of PalletOne. It will be investing heavily in automation, material sourcing, and recruitment as they continue to enhance the solutions offered to our customers. And the protective packaging runway is growing from a small base and is pleased to welcome the Advantage Label & Packaging team to its business unit. Advantage is an excellent company which will be a terrific foundation that could be scaled throughout our industrial markets. And our International Group continued its exceptional performance in the fourth quarter as Mexico continues to excel and Australia adds additional products to its mix. The recent investment in Ficus Pax in India, as well as the acquisition of Boxpack in Australia, continue progress toward our goal of being a global packaging solutions provider.  The International Group and the Industrial segment are working hand-in-hand to meet the needs of and to provide solutions for our multinational customer base. And now that 2021 is in the history books, we have changed our attention to 2022. A year in which we plan to innovate, to drive even more improvements in our business. A key building block to successful innovation is new product introductions. In 2021, new product sales totaled $842 million. However, to improve our results and set an even higher bar, we have tightened the criteria for new products for 2022. As a result, we have sunset nearly $376 million of new product sales. While we will continue to sell these products, they will no longer be considered new products going forward. With that in mind, we have established a sales target of $525 million for new products in 2022 using the enhanced criteria. To out-meet these tougher targets, the Construction and Industrial segments, where we're adding resources to ramp up their new product efforts.  So what is the external outlook for 2022? Here are a few of the data points. The first, repair and remodel market, which is a good guidepost to Retail big box remains strong. Leading indicators for the joint housing study shows strong growth through Q3 before normalizing to more historical growth levels. Our big box customers remain optimistic as well. The construction market looks strong through Q2 as order files extended on multi-family as mentioned before through the end of '22. Industrial durable goods manufacturing is also strong through Q2 with many appliance manufacturers reporting order files out 16 to 26 weeks or more. And the Manufactured Housing Institute is predicting another strong year for manufactured and low modular housing. And with the market as strong as the one that we are in there are always challenges. A few of the challenges we are working on, are first, finding sufficient labor. While we have seen an increase in applications and applicants, we still have over 600 job openings. Our HR teams have been very creative and aggressive in developing and implementing tools to recruit those individuals who are willing to work hard and join our growing team.  Our referral incentives are helping and one of the most impactful retention to the sharing company's success with our teammates. 2021 will be a year to remember for our frontline teammates who do whatever it takes to serve our customers needs. Our typical incentives, coupled with the special year-end bonuses which recognized the exceptional efforts of all of our frontline teammates in a very challenging COVID year, will result in over $40 million of payments to our hourly employees, shattering all previous hourly incentive records. We also provided extra incentive compensation to our production managers and supervisors in appreciation for their incredible contributions. We are truly grateful for all of their efforts and believe that this will continue to be a powerful retention program. Our hope is that inflation, bad policy decisions, and increased taxes don't eat up all their compensation increases.  The second transportation is a constant struggle and is also a factor in the elevated Lumber market. Lack of cars in Canada forced producers to curtail production in a few locations. Transportation costs are expected to increase, at least through the middle of the year as equipment costs, fuel, and driver wages are all up. Ocean freight is still overpriced, and although it is not a large percentage of our transportation costs, we still have to remain vigilant in obtaining reimbursement for these costs. The third area is interest rates. The Federal Reserve as signaled interest rate increases to fight inflation. We have a very strong balance sheet and are not concerned with our financial position. However, as we have learned in prior cycles, these officials tend to over-correct because they underestimate the time lag between action and market response. We hope that they use prudence and patience. And while higher rates will reduce the number of individuals who can qualify for a mortgage, we believe those rates will further fuel demand for rental dwellings, rather than eliminating demand for housing. And it is important to note that manufactured housing becomes relatively more attractive in a higher interest rate environment.  So our ability to serve both site-built and manufactured housing provides a great balance to our Construction segment. The fourth challenge is the lumber market. We have discussed the elevated level of the lumber market pricing, which creates its own set of challenges. We are taking a balanced approach in our inventory positioning and utilizing our natural hedge between our business segments to prevent one sided impacts to our overall business. We are using our purchasing strategy to obtain our current supply without taking oversized market risk. And our new MRO team is implementing its strategies as well. With all of the exciting new business opportunities and the challenges of continuing our trajectory, we rely on our ROI focused business model to keep enhancing shareholder value. At the top of that list is capital allocation. We prioritize capital on growth, creating long-term value, and providing a solid return to our shareholders. In the growth area, we focus on strategic acquisitions, new products, and services, expansionary and efficiency capital expenditures.  With each business unit identifying targets in their runways, the acquisition pipeline remains robust. And we have substantially increased capital commitments for automation and technology and expect that trend to continue. We are also utilizing more capital on greenfield expansion as acquisition valuations in certain sectors preclude us from achieving our ROI targets via acquisition. To enhance long-term value, we will grow our investment in long-term development through our Innovation Accelerator, which is designed to speed and enhance the return on investment in new products. We will also invest in our facility to provide a better employment experience, reduced repair and maintenance costs, and create a more efficient company. And we return capital to our shareholders in a few ways, including cash dividend of $0.20 per share payable in March. The board also authorized additional shares for our share repurchase program, bringing the total authorization to 2.6 million shares. We will employ opportunistic share repurchases when appropriate to mitigate dilution from our share compensation programs. Now, I would like to turn it over to Mike Cole who will provide more details on our financial performance.
Mike Cole: Thanks, Matt. And good afternoon, everyone. Our consolidated results this quarter are highlighted by strong Growth and profitability improvements, headlined by 25% inc -- unit Growth and 89% adjusted EBITDA growth. Operating cash flow of $512 million, $176 million ahead of last year. A strong balance sheet with only $50 million of net debt and liquidity over $800 million. And the return on invested capital for the year of nearly 27%. Now, I'll review the financial statements for the quarter in more detail, starting with our sales by segment. Sales and Retail segment increased 39% and consisted of a 3% increase in selling prices, unit growth from acquisitions of 34%, and organic unit growth of 2%. We anticipated a challenging organic growth comparison in Q4 when unprecedented demand in the fourth quarter of 2020 helped us grow unit sales by 38%. The Organic unit increased this quarter varied by business unit as increases in UFP-Edge and Retail building products were offset by declines in Deckorators and Outdoor Essentials. The results of our Deckorators business unit varied by product category with accessories reporting a decline of 21% while our decking unit sales increased by 11%.  Capacity expansion contributed to our unit increases in Deckorators, decking, and UFP-Edge. Looking forward, the investments we made in these business units should add planned sales of nearly $100 million to Retail in 2022. Sales in the Industrial segment increased 67%, which includes a 42% increase in selling prices as we continue to improve our value-added product mix, execute value-based selling initiatives, and maintain pricing discipline. Our unit sales increased 29% as a result of our PalletOne acquisition. Organic unit growth declined 4% this quarter due to capacity constraints and as we continue to be selective in the business retake in order to focus on higher margin value-added products. Strong execution of this sales strategy resulted in a tremendous improvement in our gross profits, which I will review shortly. Market share gains contributed sales of $25 million associated with new customers, $21 million from new locations of existing customers, and $18 million from new products this quarter. These gains were offset by the loss of unit sales on less profitable accounts.  Finally, our sales to the Construction segment increased 33%, consisting of an 18% increase in selling prices, 13% organic unit growth, and 2% contribution from acquisitions. Organic unit growth was driven by a 38% increase in commercial, 20% in factory-built housing, and 2% in site-built housing. Demand in our backlogs of business remained strong, which we believe will continue for the seeable future. Capacity constraints in our site-built business unit remain a challenge. Consequently, we continue to focus on being selective in the business we take and exercise pricing discipline. Moving down the income statement, our fourth quarter gross profits increased by $185 million, or 99%, and outpaced our 25% increase in unit sales as our profit per unit improved. By segment, Industrial's gross profit increased by $75 million, or 152%. Besides acquisitions which contributed $23 million of the increase, value-based selling and favorable changes in product mix were the primary drivers for the increase in gross profits. Construction's gross profit increased by $76 million, or 98%, led by a $53 million increase in site-built, and then $11 million increase in each of factory-built and commercial has each experienced strong Organic unit Growth, giving us the ability to Leverage fixed cost.  The improvement in commercial is also result of actions taken last year to reduce capacity to align with demand and implement value-based pricing and other operational improvements. Retail increased by nearly $4 million for the quarter entirely due to businesses we acquired. For the year, Lumber market volatility and an increase in our product mix of treated Lumber contributed to a decline in our Retail gross margins. Looking forward, we plan to continue to invest in development of new products, innovation, and core product lines and capacity expansion of key product categories like Deckorators and edge to improve overall margins. Continuing to move down the income statement, our SG&A expenses increased $91 million, including $10 million from recently acquired businesses. The remaining $81 million increase consists of a $54 million increase in bonus expense, a $3 million increase in sales incentives, a $5 million increase in wages and benefits, and a $3 million increase in travel costs.  Bonus expense this year includes payments to our hourly and production workforce totaling $50 million, representing an additional incentive on top of our usual programs. Sequentially, our SG&A increased from $170 million in Q3 to $178 million in Q4 due to bonus expense as a result of an increase in our pre -bonus operating profit. Finally, our operating profits increased from nearly $107 million -- increased nearly $107 million primarily due to a $61 million increase in Construction and a $45 million increase in Industrial. Acquisitions contributed $20 million to the operating profit increase in Industrial and $24 million to the increase in its EBITDA. Moving on to our cash flow statement. Our cash flows generated from operations for the year was $512 million and consisted of net earnings and non-cash expenses totaling $655 million compared to $339 million last year, and a $143 million increase in net working capital since the end of last year compared to a $3 million increase in the prior year.  We measure our cash cycle to assess our working capital management and it increased to 57 days this year, which is consistent with our historical trends but 12 days higher than last year when there were widespread inventory shortages due to the pandemic. Our investing activities included capital expenditures totaling $151 million, including expansionary and efficiency CapEx of $82 million. Notable projects include expanding our capacity to produce our Deckorators Composite Decking products, and our UFP-Edge Siding, Pattern and Trim products, expanding our machine-built pallet capacity, and taking advantage of automation opportunities. We also invested $476 million on previously announced acquisitions. Lastly, our financing activities include $40 million of dividends paid this year, and our board recently approved an increase in our first-quarter dividend to $0.20 a share, a 33% year-over-year increase reflecting confidence in our business outlook. With respect to our balance sheet, at the end of December, our total debt net of cash was only $50 million, and our total liquidity was $805 million consisting of surplus cash of $270 million and $535 million in availability under our revolving credit facility.  The strength of our cash flow generation and balance sheet provides us with plenty of capital to grow and to return to shareholders. Capital expenditures and business acquisitions continue to be priorities based on the number of opportunities we have and the strength of potential returns we see. More specifically with respect to capital allocation, we're planning to continue paying dividends at the increased rate at $0.20 a quarter. Our board continues to consider our payout ratios and yield when determining the appropriate rate. We will continue to target share buybacks based on the amount we issue under our share-based compensation plans, and when the price reaches our target. Our board recently authorized an increase in our share repurchase program, and we have authorization to purchase up to 2.6 million shares. We're targeting capital expenditures of $175 million to $225 million, which is much higher than last year, reflecting the number of opportunities identified in our business units and a focus on enhancing the working environments of our plans for employees.  Priority continues to be given to projects and strategies that have strong long-term Growth potential in areas we have competitive advantages, new and value-added products, automation opportunities, and of course, our ability to hit targeted financial metrics. Notable projects include investments to expand the capacity of our Deckorators business unit, expand UFP-Edge geographically, enhance automation and expand the capacity of our machine-built pallet and other structural wood packaging operations, enhance automation and expand the capacity of our site-built operations, including geographically and expand our transportation fleet to meet our customers’ needs. We believe these and other investments along with our strategies to increased market share, will help us achieve our long-term goals to grow our annual unit sales by 5% - 7%. We anticipate smaller tuck-in acquisitions will continue to contribute toward that goal, achieve and sustain a 10% EBITDA margin by continuing to enhance our capabilities and grow our portfolio of value-added products, and earn an incremental return on new investment over our cost-to-capital. That's all I have on the financials, Matt.
Matt Missad: Thank you, Mike. Now, I'd like to open it up for any questions you may have.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question will come from Ketan Mamtora with BMO Capital Markets. Please go ahead.
Ketan Mamtora: Thank you and good afternoon, and a big congratulations of the entire year.
Matt Missad: Thank you.
Ketan Mamtora: Maybe first question, just taking on that point, can you talk about two things or three things that you guys have done over the last couple of years that have really helped navigate such extreme volatility in lumber prices that we've seen? I know in the past it used to be a bigger short-term issue, but over the last two quarters or three quarters we've seen very high lumber prices. We saw a sharp drop and then we've seen a rally, but you guys have delivered there. So just talk of two key points or three key points, Matt or Mike.
Matt Missad: Sure, Ketan. I think I got to give all the credit to our experienced operations team. Both our purchasing group, as well as the segments for really working together well to help balance their inventories, to anticipate the changes in the market. I think their ability to manage through it is the number one reason behind the success. I would point also to our balanced business model. We talk a lot about fixed price products, variable priced products, and how we have a natural hedge, and I think you've seen that very apparently over the last couple of years where you saw times where Retail was running very, very well, and the other units struggled a little bit more, and this past year you've seen the reverse of that, but overall the balance in the business has really helped us to perform exceptionally well.
Ketan Mamtora: Got it. That's helpful. And then maybe switching to Deckorators. Can you talk a little bit about -- just unpack it a little bit for us in terms of the accessories being down 21% yet decking up 11%? What drove that kind of a divergence? And then, what is your expectation for volume growth in 2022 in Deckorators?
Matt Missad: Yeah. I think Ketan, the challenge for the Lattice in particular and some of the other accessories is, if you look at it on a full-year basis, year - over-year it's a little different depending on how the original stocking orders went. We're pretty heavy in the first half of the year in '21 and then not much in the second half. So I think there was a little bit of bumpiness in those particular numbers. I think overall demand is still strong with respect to the Deckorators, decking products, we've had some capacity constraints there, which we're doing our best to alleviate and the good news is, is that there's just a really strong customer demand out there that we're trying to fill. And as I've said before, I think our mineral-based composite technology is the best thing out there, and we're really looking forward to growing that and adding new products as well.
Ketan Mamtora: Understood. And then, Matt, as you look at your broad Retail portfolio, how do you see channel inventories at this point, especially the ones that go through the big box channel?
Matt Missad: I think it's always a little bit challenging, Ketan, to figure out how much inventory is in the channel, and our purchasing people, again, do a very good job of sorting through that information and I think there's -- people are well-stocked and the takeaway during the first quarter and early second quarter will determine how the year shapes up, but I would say right now the market's fairly balanced and we just need to see how -- what the takeaway looks like.
Ketan Mamtora: Understood. And Mike on share repurchases, out of that $2.6 million authorization, can you just remind us how much -- how many shares you've already repurchased?
Mike Cole: Oh, that's the -- that -- $2.6 million is the total amount that we have available. So any amount that we've previously repurchased has already been backed out of that amount.
Ketan Mamtora: Understood. Got it. That's very helpful. I'll turn it over. Good luck.
Matt Missad: Thank you, Ketan.
Mike Cole: Thank you.
Operator: Thank you. Our Next question will come from Stanley Elliott with Stifel, please go ahead.
Stanley Elliott: Hey, everybody. Thank you guys for taking the question.
Matt Missad: Hi, Stanley.
Mike Cole: Hi, Stanley.
Stanley Elliott: And congratulations. Quick question. On a lot of investments you guys are making on the automation side to improve the productivity, curious what push-back you're getting from the machine orders and things of that nature just given how jumped up some of these supply chains are being and what impact, if any, do you think that's going to have on your ability to push through some of these high return projects this year?
Matt Missad: That is a great question, Stanley. I think you're dead on. I think the ability to implement all of the things that we want to do this year is going to hinge very tightly on what these manufacturers were able to provide for us so we expect there to be some spillover. We won't be able to get everything done that we have hopes to get done this year, so it will probably spill into '23. But we're definitely committed to continuing on this journey and making ourselves stronger, and helping our employees make their lives a little easier.
Stanley Elliott: And you -- on the new product piece, you tightened the criteria, maybe a little bit more color on that. My math was -- and then also just help me. Looks like that that business you think it's going to grow double-digits in the coming years. I just want to make sure that I was thinking about it correctly and what led to the timing of that criteria.
Matt Missad: Your calculation is exactly right, we're looking at double-digit growth. And one of the things, when we first started on this new products path, we recognized that we wanted to really get everyone involved in participating in driving new products that we created a fairly broad net in order to qualify as a new product. Now we've added margin targets, length of time in other production metrics that we're looking at to make sure that all of the new products are, in fact, really going to help drive our bottom line performance. So it's tougher to get in as a new product going forward, but we're very confident that we'll have enough, and they're going to be really strong products.
Stanley Elliott: Perfect. That's it for me. I'll turn it over. Congratulations and best of luck.
Matt Missad: Thank you Stanley.
Stanley Elliott: Thank you.
Operator: Thank you. Our next question will come from Reuben Garner with Benchmark Company. Please go ahead.
Reuben Garner: Thanks. Good afternoon, everybody and congrats again. I know everyone has already said, but congrats on the year very impressive results.
Matt Missad: Thanks Reuben.
Dick Gauthier: [Indiscernible] Reuben.
Reuben Garner: The -- more on the investments you mentioned, expanding geographical reach and a couple of various, can you elaborate on that UFP-Edge and then the company -- I'm sorry, the site-built operations, is that expanding into entirely new markets with your capabilities there or is that just kind of broadening your reach in an existing geographical region that you are in?
Matt Missad: Sure. Yes. On the UFP-Edge side, as you recall, that's more of a newer business unit for us and we're very excited about the growth pattern there. We've completed out our first major facility improvements just in Q4. And now we're driving for additional capacity in the Southwest this year. And then next year it will be probably more in the Northeast market or somewhere in the East area. So that's really just a geographical spread to help with distribution. With respect to the sit-built group, we're looking there at, I'll call, adjacent geographies that we feel have good long-term growth potential. And it's not that we're going into radically new territories, but we're going to areas that we believe will have a good solid run and are not overvalued. So consistent with where we are in our other markets.
Reuben Garner: Okay. Great. And do you -- I mean, is that an area where -- is that one of the items that may get pushed out into '23? I've heard that it can be difficult to get the equipment that you need for those operations. Is that fair to assume that's one of the tougher ones?
Matt Missad: If I could answer that question for you, Reuben, I would. I don't know for sure if -- which particular equipment manufacturer is going to be a problem. And I don't know how we can leapfrog to the front of the line with the other companies that you're covering, but if we can, we'll try to sneak in front of them.
Reuben Garner: Got it. Let's see. And then you mentioned UFP-Edge is a relatively new business line. I wanted to ask about the targets I think each business unit is in time supposed to get to a $500 million revenue number? Is there a time horizon on that? And then, would some of the categories like UFP-Edge, and the Home and Decor ones. Would those be the most likely areas that we would see M&A help to make that happen? I guess how much of it would be organically driven, and some of the new products you launched at the builder show versus bolting on M&A to your existing portfolio?
Matt Missad: Yeah. That's a great question. So yes there is a time horizon, and no we haven't told you what it is yet. But believe me, we are pressing our business unit leaders to drive that as quickly as possible. I would tell you that the strategy is maybe slightly different. We are looking more in organic model with UFP-Edge. We talked about the additional facilities and the plans there. Fairly easy for you to diagram how we get to our targets that way. With the hand print home and decor stuff, a little more challenging to try to draw that pathway. And I would think that acquisitions might be part of that, as well as in the protective packaging space, that's more likely to require additional acquisitions as well.
Reuben Garner: Perfect. I'm going to sneak one more in if I can, the calling of business, I don't know if that's the term you've used, but maybe focusing on your most profitable areas given how tight your capacity is. Have we gotten past the vast majority of that, and maybe we start to see unit growth again particularly in the Industrial side, or is there more of that to go?
Matt Missad: Yeah, I think it's probably a little bit mixed and it's tough to give you a good read on that. So Mike, as I discussed, sticks and panels, converting those to actual designed engineered manufactured product using mixed materials, that probably ends up being a different kind of unit change so it doesn't compare well, but it's actually a better sale for us and it's better for the customer. So that's -- it's difficult to talk about unit sales Growth there because it's a -- they're little apples and oranges.
Reuben Garner: Okay. Congrats again, guys and good luck on setting a new bar.
Matt Missad: All right. Thanks, Reuben.
Operator: Thank you. And our next question will come from Kurt Yinger with D.A. Davidson. Please go ahead.
Kurt Yinger: Great. Thanks. And good afternoon, Matt and Mike.
Mike Cole: Hey, Kurt.
Matt Missad: Hey.
Kurt Yinger: It's been a really strong last couple of months for lumber, coinciding with when I think you're typically building some inventory on the pressure treated side. Could you just talk about how you're approaching that? And if there's any actions you're taking, or how you're thinking about maybe trying to mitigate any risk associated with a correction that may or may not come in lumber prices in the spring?
Matt Missad: Well, you had such a great question you actually gave the answer in your question. So I'm not sure how much more you need for me. But we're trying to follow your advice there, Kurt. We're trying to be cautious about it. We are obviously well aware of the situation there. And again, I'm leaving it to our real talented leadership teams to help drive that. But your observation is correct. There wasn't a big opportunity to take a huge position early on. And so I think as we look at the tea leaves here, we're using our programs that we have had in place for a while to help mitigate any downside risk. And again, we rely on our balanced business model to help us through it.
Kurt Yinger: Okay. And thinking back to the third quarter, I think Spartanburg and Sunbelt were particularly hit hard when lumber rolled over and I believe at the time, part of that was perhaps them taking a heavier inventory position than you typically would. Have there been any changes to that or is that just structurally how those businesses run versus how you approach ProWood?
Matt Missad: No. I think, Kurt, working together with our teams, I think they have positioned themselves differently and they're in a better position than they were before, and as we get to know each other better and evaluate the synergies we have as a company, I expect that to continue to get better. And they can utilize some of our strategies and programs to help mitigate some of the variations in the lumber market as well.
Kurt Yinger: Okay. All right. That's helpful. And then I guess switching to the fixed product side, I mean, typically you think sharp inflation Lumber can create some pinch on margins there, but you had a really good Q2 are really good Q4, maybe you could just help us think about what's been most impactful there in Construction and industrial in terms of your ability to offset or avoid that headwind with the kind of inflationary trend that we would expect to maybe be problematic.
Matt Missad: I think it's tough to say that, Kurt, but that's all to the management's credit in terms of how they manage through it. I think there are -- been some absolute shifts in our product mix and other things that have helped us, and I think, frankly, a very high level of demand has helped to drive it as well. So I would say as long as that high level of demand continues, we will be in good shape, if that tapers off and then you may see some impacts. But right now, it appears to be fairly strong demand portfolio and the continued improvement in some of the strategies that each the Industrial and the Construction teams are doing will help us enhance it.
Kurt Yinger: Okay. That makes sense. And then just on the price impact this quarter on the top-line, Lumber itself was pretty flat year-over-year in Q4. So is that just you passing along all these other areas of inflation, or is it really all mix? Maybe you could just help walk us through what's going on there and how we should think about that separate from whatever we're assuming on the lumber side going forward.
Matt Missad: Yeah. I consider that to be heavy mix changes, but also inflation impacts in labor in particular, and passing those transportation costs, and other one, making sure we pass those along. But then also value-based pricing, especially on the -- I think in the industrial side, we provide a lot of value to our customers. And I think the structure change has helped us understand that and modify our pricing models to make sure we get paid for that value that we had. So all of those things I think contribute to the price increases that you see in the numbers.
Kurt Yinger: Got it. Okay. Thanks for that, Mike. And Mike, sticking with you, I think you talked about a 10% EBITDA margin which you were close to in '21, but other buys isn't something I think we've really seen from the business. So is that an explicit hurdle that you expect to achieve or exceed going forward, and if so, maybe you could just talk about some of the structural changes of why the business is different from a margin perspective today than what we've seen over the last couple of years.
Matt Missad: Yes. As we've talked about before, we've been on this transformational journey to become more and more value-added, continue to make sure we're focused on solutions for our customers and enhancing our capabilities to rely those solutions for a long time. And frankly, we've internally, we've had 10% EBITDA margin in -- on our mind for years, and now we're getting close. And so we wanted to make that a public goal and it's not necessarily a goal we think we'll complete right away, but it's a long-term goal and it's our goal to get there, sustain it, while still continuing to focus on return on investment and all the other important metrics that we think drive shareholder value.
Kurt Yinger: Got it. Okay. Well, I appreciate all the color, guys, and good luck here in 2022.
Matt Missad: Thanks, Kurt.
Mike Cole: Thanks for it.
Operator: Thank you. Our next question will come from Julio Romero with Sidoti. Please go ahead.
Julio Romero: Hey, good afternoon, Matt, Mike, Dick. Thanks for taking the questions.
Matt Missad: Hi, Julio.
Mike Cole: Hi, Julio.
Julio Romero: Hey. You guys are two years into the change in organizational structure. Maybe just talk about how big of a driver that's been near results in '21 and what you've learned two years in, and maybe any unexpected takeaways, whether good or bad, that the structure has revealed, so to speak.
Matt Missad: Yeah, Julio, I guess, from my perspective, I've been pleasantly surprised. And again, I think you see it in the segments you see how they've been driving change. We all expected it to -- things to move faster, whether that was new products or changes in the business. But again, I give the credit to the segment leads, the business unit leads, for really jumping on board and driving this change. And that we can see it and you can see it as well, the results of what happens when they are able to focus
Matt Missad: on specific areas and devote all their talents and their energy to it. That part to me has just been incredible. They've done a terrific job on that. I think at the operational level, each of the plants is -- has jumped right in. They have driven their business at the local level. They produced the products, shipped them, delivered them, especially in these crazy COVID times. And those local management teams have done an outstanding job as well. And obviously, for us the backbone for these past two COVID years has been the people who are willing to come in and make the products and ship them and get them delivered. Those production leaders as well as the production employees and teammates, they've really been outstanding and that's why we're so pleased to be able to give them the big bonuses they deserve.
Julio Romero: Got It. And then here's my second question. It's certainly been a really strong year performance-wise, I guess, what keeps you up at night? What do you see as the biggest risk or variables as you head into '22? Matt, I think you've talked about labor, freight, and even interest rates. I guess, what do you see as your biggest near to medium-term risk operationally?
Matt Missad: Yeah. From an operations perspective, it is -- as I called out the challenges, I think we have strategy to try to deal with those challenges. It's the things that we don't control that are the things that we have to figure out how to react to. And from my perspective, there's not much we can do about that. And we count on the experience that we have with our leadership team to deal with those types of issues. But inflation, interest rates, what kind of policy decisions are being made, those are the things that challenge us and those are things that it's difficult to prepare for because we're just not sure which way people are going to go with that.
Julio Romero: Got it. Thanks for taking the questions and best of luck in '22.
Matt Missad: Thank you.
Operator: Thank you. Our next question will come from Jay McCanless with Wedbush Securities. Please go ahead.
Jay McCanless: Hey, guys. Good afternoon. Thanks for taking my questions. I got several, I'm swinging -- just rattle right through these. I guess the first one, what are you all seeing in terms of absenteeism at the plants due to COVID, has that started to improve yet or any color you can give there?
Matt Missad: Yeah, I can't really give you that information on a local level because I don't have it. But I can tell you anecdotally that I would say our teams have done a tremendous job of working through that. While it's been problematic, I'm sure for each facility at one-time or another, they've really done an incredible job of managing through it. So I don't think that's had a huge impact.
Jay McCanless: Okay. And then I guess we think about since the beginning of the year, you said that backlogs were good and full for both MH and site-built at year-end. Have been able to work those down? Or get the days shortened on those as you move through the first six weeks of '22?
Matt Missad: Yeah. I haven't gotten any additional information on that, Jay, from where we were at year-end, anecdotally, again, is all I can tell you, and I think they are still very strong.
Jay McCanless: Okay. And then the next question, Mike with the -- I know that there were some one-time bonuses, but what was with the new Acquisition this past year? What do you think the run rate quarterly SG&A, what should be the best number there?
Matt Missad: Yeah, Jack. So as we've talked about before, if you pull -- you need to pull bonuses out of the SG&A number and that was a little over $50 million in Q4. And that's going to be about 20% of pre -bonus operating profit. That's what we'd accrue and that tends to be where we land. The rest of the SG&A then I think should remain pretty consistent from this quarter to the next, $124 million or so, except -- February is the time when we give annual reasons. So I think maybe 50% or so of our SG&A cost is wage related. And then you'd want to put a wage increase on top of that. So with that, I think that would be a pretty good place to start.
Jay McCanless: Great. And then -- so my next question, your competitors in Deckorators have talked about their belief that market share for composite has moved up into the low 20s, I guess -- would you guys say that that is accurate from your standpoint, and also, you look at Deckorators decking was up 11% in the quarter versus ProWood being up only 1% in sales. And I don't -- is that real market share gains or is that just ProWood having a much larger base to grow to get to that 1%?
Matt Missad: Yeah. I think there may be some market share gain, Jay, but I think your latter point is the more correct one. If you just look at total volumes of each, the treated lumber volume, for us anyway, is substantially greater than the composite market. But we still look at it long-term. I think the area that we look at in terms of market share gains comes in what I'd call the lower end of the composite space. And we called out Trailhead, which is our entry-level wood plastic composite product. We're seeing growth there. And if Lumber prices are very high than the exchange between the high-priced lumber and the low price composite is not as great.
Jay McCanless: Got it. I mean the -- are you're already starting to take some shelf space away from Lumber what this Trailhead brought up?
Matt Missad: I think the way you look at it in terms of store space, I don't think that's -- it's certainly not that drastic of a market share change. So you're talking in 1% or 2% to 3% share shift, which is -- Okay. Big volumes, but in terms of store space, it's not significant.
Jay McCanless: And then my last question, so on Industrial and knowing that organic growth was down year-over-year, we've heard a lot more complaints lately about domestic freight laying issues, about a lack of drivers like you talked about, the lack of railcars in Canada was a new one, but I guess if we can get some of these supply chain hurdles domestically fixed and or improved, should that be a tailwind organic unit volumes for Industrial?
Matt Missad: Yes, we would certainly hope so. I think the impact of COVID on the manufacturers who are our customers, I don't have a great handle on what that is. But I know there's -- we called out some appliance makers that have very long lead times. And if they are constrained by labor, that's probably not going to do a whole lot to help those lead times, even if transportation gets fixed. But I don't know that for certain.
Jay McCanless: Okay. Great. Thanks, again.
Matt Missad: Alright. Thank you.
Mike Cole: Thanks, Jay.
Operator: Thank you. And we do have a follow-up question from Ketan Mamtora with BMO Capital Markets. Please go ahead.
Ketan Mamtora: Thank you. Just a couple of quick ones. Matt, one, on the site-built side, when you talk about getting into maybe new geographies, in the past, you've talked about staying away from some of these boom and bust markets. As you look at how the housing demand is evolving, is there any change in thinking around that?
Matt Missad: There isn't any change in me not wanting to go into boom and bus markets. And the expansion that we're talking about are not going into historical boomer bus markets. I think what we are looking at is transformational shifts in population, in demographics, and trying to make sure that we're in those areas that have really good long-term Growth prospects. So I think that's probably a difference, it's not a shift in our strategy.
Ketan Mamtora: Got it. That's helpful. And then Mike, Deckorators sales in 2021 in sort of dollar millions.
Mike Cole: Deckorators ' a business unit. So that's more than just -- the decking was $260 million, I think, roughly
Ketan Mamtora: Got it. That's perfect. That's all I had. Thank you, guys.
Matt Missad: Okay. Thanks, Ketan.
Operator: And speakers, I'm showing no further questions in the queue at this time. I'll turn the call back over to you for any closing remarks.
Matt Missad: Well, thank you. We're off and running in 2022 and we're very excited about what the future holds, as you can tell. As we look ahead, we see more and more opportunities. Our new segment structure has made us faster and deeper, and we're going to build on this foundation to create even more value. And in 2022, we will innovate. Our interests are aligned with the shareholders because we are shareholders. We look forward to meeting the challenges head on and breaking more records in the future. Thank you for your time today, and thank you for your investment in us. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.